Operator: Greetings, and welcome to the CVR Energy Fourth Quarter 2013 Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation (Operator Instructions). As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Jay Finks, Director of Investor Relations. Thank you. You may begin.
Jay Finks: Thank you, Brenda. Good afternoon. We very much appreciate you joining us this afternoon for our CVR Energy fourth quarter 2013 earnings call. With me are Jack Lipinski, our Chief Executive Officer; Susan Ball, our Chief Financial Officer; and Stan Riemann, our Chief Operating Officer. Prior to discussing our 2013 fourth quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. Without limiting the foregoing, the words outlook, believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are cautioned that these statements maybe affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements whether as a result of new information, future events or otherwise. This call also includes various non-GAAP financial measures, the disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures are included in our 2013 fourth quarter earnings release that we filed with the SEC this morning prior to the open of the market. With that said, I'll turn the call over to Jack Lipinski, our Chief Executive Officer. Jack?
John Lipinski: Thank you Jay and good afternoon everyone. Thanks for joining this earnings call. Hopefully, everyone has had the opportunity to listen to the CVR Partners and CVR Refining fourth quarter earnings calls earlier today. Just as a matter of information both conference calls are available for playback over the next 14 days on our website. Today we reported CVR Energy’s fourth quarter consolidated adjusted net income of $61.7 million or $0.71 per diluted share. That compares to $103.8 million or $1.20 per diluted share in the fourth quarter of 2012. Susan will provide many more details on the financials reported this morning. We continue to return cash to our shareholders. This morning, CVR Energy announced its quarterly cash dividend of $0.75 per share, which will be paid on March the 10th to stockholders of record on March the 3rd. In 2013 including this quarter’s dividend, we would have returned $1.3 billion or $15 per share to our shareholders. Let me talk a little about our business segments. This morning CVR Refining released their fourth quarter results. Their fourth quarter consolidated adjusted EBITDA was $117.5 million as compared to $196.2 million a year ago. CVR Refining also declared the fourth quarter distribution of $0.45 per common unit to be paid on March 10 to unitholders on record on March 3. As you know, CVR Energy owns approximately 71% of the common units of CVR Refining, and therefore receives a proportional amount of distributions from CVR Refining. This brings the cumulative cash distributions declared or paid by CVR Refining for 2013, just $3.60 per common unit. On a full year basis adjusting for the $0.18 from the pre-IPO period, CVR Refining’s calculated full year distribution would have been $3.80 [Ph] per common unit. And that exceeded the $3.45 to $3.70 full year outlook provided during their third quarter conference call. Operationally, both plans ran exceptionally well during the fourth quarter resulting in a record quarter for accrued throughputs through the system. This was a primary contributor for allowing us to exceed our full year distribution outlook. Coffeyville processed approximately 122,300 barrels a day of crude, additionally Wynnewood processed approximately 79,500 barrels a day of crude again resulting in crude throughput of approximately 201,800 barrels a day for the fourth quarter. Turning to our Fertilizers segment, let me recap better on this call, CVR Partners announced a 2013 fourth quarter cash distribution of $0.43 per common unit to be paid on March 10 to unitholders on the record of March 3. CVR Energy owns approximately 53% of the common units of CVR Partners and receives a proportional amount of distributions from that company. This brings the cumulative cash distributions declared or paid by CVR Partners for 2013 to $1.98 per common unit. CVR Partners’ fourth quarter adjusted EBITDA was $36.6 million as compared to $27.1 million in the same period 2012. Operationally, CVR Partners was highlighted by high on-stream rates for the fourth quarter. The gasifier ran continuously at 100% for the quarter, and both the ammonia synthesis loop and UAN plants operated approximately 99% of the time. The net back price we received for UAN was $253 per ton and we received $478 per ton for ammonia in the fourth quarter of 2013. This is compared to an average net back price in the 2012 fourth quarter of $274 per ton for UAN and $676 per ton for ammonia. At this point, I’ll turn the call over to Susan.
Susan M. Ball: Thank you Jack, and good afternoon everyone. As Jack mentioned, CVR Energy owns approximately 71% of the common units of CVR Refining and approximately 53% of the common units of CVR Partners. The net loss attributable to CVR Energy stockholders was $21.7 million in the fourth quarter 2013 as compared to net income to the CVR Energy stockholders of $40.2 million in the fourth quarter of last year. Adjusted net income for the 2013 fourth quarter was $61.7 million as compared to $103.8 million in the fourth quarter of 2012. Non-controlling interest which contributed to a portion of the reduction in the 2013 fourth quarter adjusted net income to the CVR Energy stockholders was $36 million as compared to $7 million in the same period last year. This increase was primarily due to the IPO of CVR Refining in January of 2013 as well as the completion of the secondary offerings in May 2013 of both CVR Refining and CVR Partners. These offerings resulted in a reduction of our ownership in CVR Refining and CVR Partners since the end of 2012. The more significant adjustments used to derive the 2013 fourth quarter adjusted net income were adjustments associated with the net loss on derivatives not settled and the adjustment related to the impact under our inventory first-in first-out FIFO accounting method. We adjusted for a loss on derivatives not settled during the fourth quarter as the $126.2 million and adjusted for an unfavorable FIFO inventory impact of $62 million. These gross adjustments net income are reduced for the portions relating – related to the non-controlling interest and are then further adjusted for the net tax impact associated with them. The fourth quarter of 2013, effective tax rate was a benefit of 49.1% as compared to effective tax rate with an expense of 27.1% for the fourth quarter of 2012. The 2013 fourth quarter tax benefit was higher due to state income tax incentives, higher federal tax benefits related to deductions from domestic production activities, all of this coupled with the applications of the increased benefits to the loss that was generated in the quarter. At the comparison point, our full year effective tax rate was approximately 26% compared to approximately 35% in 2012. This decrease between the years was predominantly due to the reduction in income subject to tax associated with the 2013 increased non-controlling ownership interest of CVR Refining and CVR Partners earnings. CVR Refining’s adjusted EBITDA for the 2013 fourth quarter was $117.5 million as compared to $196.2 million in the same period of 2012. In the fourth quarter 2013, CVR Refining’s realized refining margin adjusted for FIFO was $11.48 per barrel as compared to $25.93 in the same quarter of 2012; driving this decrease was lower overall NYMEX 2-1-1 crack spreads, negative product basis, and increased RENs expense. As of December 31, CVR Refining had open commodity derivative positions of 23.3 million barrels at an average fixed price of $28.12 per barrel; these open commodity derivative positions were comprised of approximately 74% for distillate crack swaps and 26% for gasoline crack swaps. As Jack, mentioned, CVR Refining announced a 2013 fourth quarter distribution of $0.45 per common unit, of the approximate $66.4 million that will be paid, approximately $19.3 million will be paid to the public unitholders and approximately $47.1 million will be paid to CVR Energy. Turning to the Fertilizer segment, CVR Partners fourth quarter adjusted EBITDA was $36.6 million as compared to $27.1 million in the same period last year. As noted earlier CVR Partners announced a cash distribution of $0.43 per common unit for the fourth quarter of 2013 of the approximate $31.4 million to be paid approximately $14.7 million will be paid to the public unitholders. CVR Energy will receive approximately $16.7 million. We ended the quarter with cash and cash equivalents of approximately $842.1 million on a consolidated basis; this included $85.1 million of cash at CVR Partners and $279.8 million of cash at CVR Refining. Excluding the cash of these entities, we held cash of $477.2 million as of December 31, 2013. As of February 18, consolidated cash and cash equivalents was approximately $1.1 billion, which included approximately $106 million of CVR Partners and $504 million of cash at CVR Refining. Excluding the cash at CVR Refining and CVR Partners, we held cash of $469 million at February 18. Total consolidated debt including current portions as of December 31, was approximately $676 million. CVR Energy has no debt, exclusive of the debt that resides at CVR Refining and CVR Partners. We continue to have a strong consolidated balance sheet with both business segments positioned well for continued growth. With that Jack, I will turn the call back to you.
John Lipinski: Okay, again thank you Susan. And again hopefully everyone on this call has had the opportunity to listen to our earlier earnings calls for CVR Partners and CVR Refining. If you don’t know, I’d urge you to go to our website and listen to the replay. And at this point, I think the easiest thing to do would be simply turn it over for Q&A, so operator?
Operator: Thank you. Ladies and gentleman, at this time, we’ll be conducting the question-and-answer session (Operator Instructions) and our first comes from the line of Jeff Dietert with Simmons & Company. Please proceed with your question.
Jeff A. Dietert – Simmons & Co. International: Good afternoon.
John Lipinski:  Hi good afternoon, Jeff.
Jeff A. Dietert – Simmons & Co. International: I was going to just check in on 2014 capital spending. I think at UAN with the expansion complete, you're probably looking at $10 million or $12 million, something like that, not a big number. And then CVRR, I had $260 million from some previous guidance, may have been from the S1 even. Could you update us on those expectations?
John Lipinski: Okay well, you are pretty spot-on on the UAN capital and the capital program if you go back to the S1 and this is probably valuable information for everyone to understand. We set up our reserves for maintenance capital as well as environmental and sustaining capital at CVRR in such a fashion that by the end of 2014, our capital spend will be completely covered by the reserves along with the $160 million that we left on the balance sheet on the date of the IPO. So if you were to add up the way our reserves work, we have reserves of $75 million for sustaining cash flow of $15 million per year for environmental capital. We put aside $35 million for turnaround of crude oils and then the remaining $40 million is for debt service and just some overhead expenses. So that way, on an annual basis, our reserves at CVRR are basically $200 million or $50 million per quarter. When you add those reserves along with the $160 million that was left on the balance sheet, we are covered on those expenditures, those that had capital. Growth capital is provided by a revolver from the parent, we have the $150 million revolver meaning the parent, meaning CVR Energy, that we drawn as necessary to fund growth capital and the thought process here is that growth capital will generate a very good returns pay-for-itself and ultimately we can take on additional debtor to do something to free-up the revolver and there is always the possibility that the parent can extend the revolver. So that’s how we are basically paying for our capital. There is no extraordinary capital coming out of our distributions.
Jeff A. Dietert – Simmons & Co. International: Great.
John Lipinski: I don’t know if that helps.
Jeff A. Dietert – Simmons & Co. International: Great, yes. And last year, with the two special dividends in the first and the second quarters $12 a share total plus the quarterly $0.75 dividend, you had a total of $15 a share, which is very impressive. Could you talk about your dividend policy going forward? You view the $0.75 a quarter as sustainable, any potential for specials as well?
John Lipinski: Well, obviously that the balance sheet, we have very strong balance sheet at the parent, we are very focused on returning cash to shareholders. Obviously, this is the matter for the Board to decide, but right now the $0.75 looks pretty solid and depending on how well the underlying companies deal or whatever else we do at CVI, CVR Energy, there is always the potential for additional dividends.
Jeff A. Dietert – Simmons & Co. International: Thank you
Operator: Thank you (Operator Instructions) our next question comes from the line of Chi Chow with Macquarie Capital. Please proceed with your question.
Chi Chow – Macquarie Capital Inc.: Great, thanks, good afternoon.
John Lipinski: Hey Chi, how are you doing?
Chi Chow – Macquarie Capital Inc.: Good. Thanks, Jack. I've got two questions on refining operating expenses. First, Wynnewood's OpEx seemed a little bit on the high end in the fourth quarter. Was there something specific that caused that and what can we expect on a run rate there, here in 2014?
John Lipinski : Susan do you have those numbers in hand or Stan, I mean we’ve got too much paper in front of me.
Susan M. Ball: It really wasn’t anything unusual at Winniwood in the fourth quarter. The operating expenses were $38.5 million compared to $30.1 million. I think we had some maybe minor increase in repairs and some utility type expenses that have increased.
John Lipinski : But overall those plants run in the range of about $5 a barrel. When it was a little bit more expensive than Coffeyville and it’s true, it strongly correlated to run rate because, the first barrel was most expensive barrel to put through the last barrels or go through a lot cheaper, because the M&A incremental energy that requires a lot lower. So we are not doing anything as far as expenses and we challenge ourselves to run this many barrels efficiently as we can. I mean I would suggest that you call Jay and get a little bit more information just kind of caught me off guard with a pile of paper in front me.
Chi Chow – Macquarie Capital Inc.: No worries. Can you provide any sort of OpEx sensitivity to natural gas prices?
John Lipinski: We get somewhat stranded gas, but we use 10 million to 12 million MCF, million cubic feet a day, 10 million to 12 million, when you were in 20 to 22 a day at Coffeyville. So if you were to just say that, okay, gas goes up by $1, so round numbers, it goes up by $30,000 a day across our system.
Chi Chow – Macquarie Capital Inc.: Okay, great thanks.
John Lipinski : I tend to know the operating stats more than the financial stat. I am an operator at heart.
Chi Chow – Macquarie Capital Inc.: Well it's a good thing, Jack. I guess on RINs, how do you approach RIN purchases here in 2014, now that we've gone through that very volatile year last year. Do you buy ratably or are you more opportunistic based on current pricing and anything you can add on that?
John Lipinski :  Well, when prices seem stable and seem reasonable we buy ratably and otherwise we tend to be opportunistic. Honestly, if you listen to my earlier call at CVR Refining, I believe we are starting to see the same charades going on now that we saw last year, I mean right after EPA came out with their preliminary announcement RINs dropped very significantly from below $0.20 and they started trading them to $0.30 range, which didn't seem too obnoxious. And then because of all the rhetoric from the corn lobby and the politics involved and all of that, people are thinking that EPA won’t have the spine and stick to their guns. I’m not calling EPA spineless, it’s a politically driven situation that we’re dealing with here. So EPA does immediate to address it. There is no magic bullet and quite honestly I hear less as the ethanol industry right now when they were in the lock stop with the corn growers, when corn prices were $7 and then everybody needed more plantings to make everything work and they needed a mandate, when corn prices dropped into the $4 range, the ethanol guys were making all sorts of good money right now. So what you are hearing is you are hearing the corn lobby itself screaming more than the ethanol lobby.
Chi Chow – Macquarie Capital Inc.: Right. Unfortunately we've got a lot of political issues circling the industry right now that are worse.
John Lipinski: I guess I think it will resolve certainly end of April, May when EPA finally comes out, I mean if EPA sticks to its guns. Look, EPA is making the decision here whether to be politically popular with the few groups or to take care of the American people, I mean if RINs go up, gasoline prices go up, that’s simple math of it all. So they have a choice to make, but the reality is, if they don’t fix it, we are up against the blend [ph] wall.
Chi Chow – Macquarie Capital Inc.: Right. I guess a final question I have is on your logistics system. Can you give us an EBITDA-type run rate now on your assets, on your midstream assets?
John Lipinski: Well, we are working on that right as we speak, because we have multiple facets of and might as well talk to it a little bit, we have leased and owned storage in Cushing. So leased storage obviously is not what drives it. We own 1 million barrels of storage and could build out 4 million barrels to 5 million barrels more on our piece of property there for crude storage. We own several hundred miles of pipelines, we have crude storage in the field, we have finished products storage in our refineries. We have racks. And just like most other people would do like whether you are talking Tesoro or you are talking Delek or you are Holly Energy Partners, you can take the storage that sits inside the plants along with the racks and along with the pipeline and sell it to the MLP and then it’s just simply a fee-based business. And then on the gathering business, what we are doing right now is, we are looking at what would be the appropriate fee for the charge of the refining company for gathered barrels. It has to work for both sides, but if I were to take a stab at a number all-in, probably somewhere $30 million to $35 million and that could be upward or down depending on how you structure it. So we got a little bit more to go. Over the years, this number has kind of stagnated a little, because we are gathering more of it, but there is more pressure on the gathering systems, so margins aren’t as wide as they were but they are still wide enough to allow us that we are doing things. In 2015, you can expect us to be gathering in the Niobrara. We are looking at moving products in other locations. So we have a plan and our plan is to grow this business 10% to 20% a year or so, that’s the focus that we are on right now. We are even looking up in Canada.
Chi Chow – Macquarie Capital Inc.: Okay. Is this something you would consider breaking out on the financials separately?
John Lipinski: Not yet. We are yet to get that discrete about it. We are tracking it internally, but we haven’t setup the separate P&L, but as we get closer, we might very well do that.
Chi Chow – Macquarie Capital Inc.: And is this something that you've talked before on focusing on doing your own MLP, but would you consider monetizing the value of the system through a sale? Or really just focused on creating your own MLP?
John Lipinski: Wait, you lose control when you give it to someone else, okay. The fact that control when you give it to someone else, the fact that wherever it sits in our organization, say, it sits in CVRR, you control the GP, so you control your destiny and every company has their own view of the world and what’s important to them or always going to look at our logistics as being important to us. It’s one of the cornerstones of our crude discount. If we buy crude at WTI Cushing, it doesn’t deliver to the refinery WTI, you have to transport it you when there’s costs associated with it. When we purchase or we gather crudes, they deliver all-in below WTI. So there is a transportation portion of it, there is refining value uplift. Generally, we’ll only gather the types of crude that we want to run because we take everything home. And in today’s world blending in Cushing where people take condensates in heavy Canadian crude mixing together and then decide to call at WTI, we would rather be the masters of our own destiny.
Chi Chow – Macquarie Capital Inc.: Yes, makes sense. Great job. Thanks for the update, appreciate it.
John Lipinski: Thank you.
Operator: Thank you. It seems we have no further questions at this time I would turn the floor back over to Jay Finks for closing comments. 
Jay Finks: Thank you, Brenda. I’d like to thank everyone again today for listening to our conference call. As Jack said earlier this is just a reminder our conference call will be available for replay over next 14 days. Please visit our website, cvrenergy.com or contact Investor Relations for additional information. Thank you.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your line at this time. And thank you for your participation.